Operator: Good afternoon. My name is David and I'll be your conference operator. At this time, I would like to welcome everyone to Intuit's Third Quarter Fiscal Year 2024 Conference Call. All lines have been placed on mute to prevent any background noise. After the speakers’ remarks, there will be a question-and-answer period. [Operator Instructions] With that, I'll now turn the call over to Kim Watkins, Intuit’s Vice President of Investor Relations.
Kim Watkins: Thanks, David. Good afternoon and welcome to Intuit’s third quarter fiscal 2024 conference call. I’m here with Intuit's CEO, Sasan Goodarzi, and our CFO, Sandeep Aujla. Before we start, I’d like to remind everyone that our remarks will include forward-looking statements. There are a number of factors that could cause Intuit’s results to differ materially from our expectations. You can learn more about these risks in the press release we issued earlier this afternoon, our Form 10-K for fiscal 2023 and our other SEC filings. All of those documents are available on the Investor Relations page of Intuit’s website at intuit.com. We assume no obligation to update any forward- looking statement. Some of the numbers in these remarks are presented on a non-GAAP basis. We’ve reconciled the comparable GAAP and non-GAAP numbers in today’s press release. Unless otherwise noted, all growth rates refer to the current period versus the comparable prior-year period, and the business metrics and associated growth rates refer to worldwide business metrics. A copy of our prepared remarks and supplemental financial information will be available on our website after this call ends. With that, I’ll turn the call over to Sasan.
Sasan Goodarzi: Thanks, Kim, and thanks to all of you for joining us today. We had a strong quarter with solid momentum across the company as we executed our strategy to be the global AI-driven expert platform powering prosperity for consumers and small businesses. Third quarter revenue grew 12%. Small Business and Self-Employed Group revenue grew 18% despite an uncertain macro environment, demonstrating the importance of our platform in fueling success for small businesses and our momentum serving the mid-market. Consumer Group revenue grew 9%, and Credit Karma revenue grew 8%, driven by the impact of innovation for members and the benefits of TurboTax and Credit Karma product integration. I’m proud of our performance, and the momentum we are seeing across the company. Turning to tax. We continue to revolutionize how taxes get done for consumers and small businesses. Tax preparation represents a $35 billion TAM in the US. This includes $31 billion within the assisted consumer and business tax categories. We are well positioned to penetrate the assisted TAM by leveraging data, AI, and our Virtual Expert Platform. Let me share several proof points. This season we made good progress against our multi-year strategy to transform the assisted experience for customers. TurboTax Live, our assisted offering, including our do-it-with-me and full service tax offerings for both consumers and businesses is our largest durable growth opportunity. We expect TurboTax Live customers to grow 12% and revenue to grow 17% in fiscal 2024. TurboTax Live revenue is expected to be $1.4 billion, representing approximately 30% of total Consumer Group revenue growing at a significant scale. This gives us confidence that we can digitize a very manual, disaggregated, and high priced assisted category. Now let me spend a few minutes going deeper in several areas. First, TurboTax Live full service is resonating with consumers as we continue to innovate, making it simpler for customers to get their taxes done virtually. We expect TurboTax Live full service customers to double this fiscal year, with those new to TurboTax to triple. Our full service offering has a product recommendation score of 85, one of the highest at Intuit. Our learnings and insights from this season bolster our confidence in the continued opportunity we have to disrupt the assisted tax category. Second, we expect TurboTax to gain share with higher ARPR filers, as we strategically prioritized focusing on the assisted tax segment and higher value customers over the pay-nothing and lower ARPR segment. Third, Intuit Assist, our GenAI powered financial assistant, played a big role in our TurboTax experience this year. With Intuit Assist, we are creating a future of done for you, where the hard work is done automagically on behalf of our customers with a gateway to human expertise, fueling their financial success. More than 24 million customers used Intuit Assist to explain their refund, answer questions, and help deliver confidence that their return was completed accurately this year. This is data and GenAI working at scale, for both our customers and our AI powered experts helping customers virtually. I’m excited about what we are working on for next season to accelerate innovation and deliver even more customer benefits. And fourth, we delivered solid results with the product integration across Credit Karma and TurboTax. We grew the number of customers that filed with TurboTax from the embedded Credit Karma experience by 76%, and tax refunds deposited in a Credit Karma Money account by 28%. We also delivered strong growth in Credit Karma Money revenue this quarter. This product integration also drove new members to Credit Karma, consistent with our goal of driving higher engagement and monetization for Credit Karma over time. Given these results, we see big opportunities ahead to deliver on our vision to help consumers make ends meet, maximize their tax refund, save more, pay off debt, and take steps to improve their financial health. To significantly accelerate creating seamless, end-to-end consumer experiences that customers benefit from year-round, we are more closely aligning TurboTax and Credit Karma under Mark Notarainni, General Manager of the Consumer Group, who will oversee both segments. I’m excited to share that Joe Kauffman, currently President of Credit Karma and part of the leadership team for the last nine years, will be leading Credit Karma as of August 1, reporting to Mark. Additionally, Ken Lin will retire from Intuit around the end of this calendar year. I can’t thank Ken enough for his friendship, leadership, and impact across Intuit. In summary, we made strong progress this tax season that sets us up for continued success in the future. Now, let’s take a look ahead. The era of AI is one of the most significant technology shifts of our lifetime. It is reinventing customer experiences, creating new monetization possibilities, and structurally changing how we work within Intuit to deliver for customers. We are very well positioned to take advantage of this era with our AI-driven expert platform strategy and five Big Bets that pursue the largest customer problems and growth drivers for Intuit. As part of our financial planning process, we have identified key areas within our Big Bets where we plan to accelerate investments to deliver greater impact. These include: Big Bet 1 GenAI to deliver done- for-you experiences with Intuit Assist, Big Bet 2 go-to-market investments for TurboTax Live and QuickBooks Live, embedding AI powered experts across our small business offerings, Big Bet 4, our money solutions, to digitize the experience end-to-end for consumers and small businesses, from estimate, to invoicing, to getting paid and paying bills, Big Bet 5, doubling down on mid-market with additional investments in the platform and go-to-market motions; and finally, accelerating international growth with Mailchimp and QuickBooks. To increase our investments in the outlined focus areas given the green shoots we are observing, we are taking a hard look at what work we can stop doing and where we can reallocate investments, to accelerate top line growth while remaining committed to delivering operating margin expansion in fiscal 2025 and beyond. Wrapping up, we are excited about the opportunity ahead, and our ability to power prosperity for our customers. Now let me hand it over to Sandeep.
Sandeep Aujla: Thanks, Sasan. We delivered a solid third quarter of fiscal 2024 across the company. Our third quarter results include, revenue of $6.7 billion, up 12%. GAAP operating income of $3.1 billion, versus $2.8 billion last year, up 12%. Non-GAAP operating income of $3.7 billion, versus $3.4 billion last year, up 11%%. GAAP diluted earnings per share of $8.42, versus $7.38 a year ago, up 14%. And non-GAAP diluted earnings per share of $9.88, versus $8.92 last year, up 11%. Now turning to the business segments. Consumer group revenue of $3.7 billion grew 9% in Q3, reflecting the progress we made transforming the assisted experience for consumers and small businesses this season. Our strategy is working. We expect TurboTax Live revenue to grow 17% to $1.4 billion in fiscal 2024, representing approximately 30% of overall Consumer Group revenue, driving total average revenue per return up approximately 10%. I’m pleased with the sustained growth we’re seeing in our TurboTax Live business. Overall retention is expected to be up 3 points year-over-year in fiscal 2024, close to pre-COVID levels, demonstrating the strength of our offerings and highlighting the benefits we are delivering to our customers. As Sasan shared earlier, we expect TurboTax to gain share with higher ARPR filers, as we strategically prioritized focusing on the assisted tax and higher ARPR customers over the pay-nothing and lower ARPR segment. As a result, we expect TurboTax Live customers to grow 12% and total online paying units to grow approximately 2% in fiscal 2024, versus total IRS returns growth of 1%. Due to yielding share with pay-nothing and lower ARPR customers, we expect our share of total consumer returns to decline approximately 80 basis points this year, and total TurboTax units to decline 1%. We are raising our full year Consumer Group revenue growth guidance to $4.440 billion to $4.455 billion, which is at the top end of our previously provided guidance. I’m proud of the progress we made this season, and the learnings we had reinforce our confidence in the future. We continue to expect Consumer Group revenue growth of 8% to 12% long-term given the size and trajectory of TurboTax Live. Turning to the ProTax Group, revenue grew 3% in the third quarter. For the full year, we now expect ProTax Group revenue growth of 6% to 7%. Turning to the Small Business and Self-Employed Group. The revenue grew 18% during the quarter, driven by online ecosystem revenue which grew 19%. Our results continue to demonstrate the power of our small business platform and the mission-critical nature of our offerings, which resonate with customers as they look to grow their business and improve cash flow in any economic environment. With the goal of being the source of truth for small businesses, our strategic focus within the Small Business and Self-Employed Group is three-fold, grow the core, connect the ecosystem, and expand globally. First, we continue to focus on growing the core. QuickBooks Online accounting revenue grew 19% in Q3, driven by customer growth, higher effective prices, and mix-shift. As I shared last quarter, we continue to prioritize disrupting the small business mid-market, through continued focus on both go-to-market motions and product innovations. Mid-market customers drive a higher ARPC over time given their more complex needs and higher usage of services on our platform, although they are a smaller subset of the total customer TAM. This, coupled with our strategy to sell more of our ecosystem offerings to existing customers, shifts the emphasis in our growth formula towards ARPC over time. Second, we continue to focus on connecting the ecosystem. Online services revenue grew 20% in Q3, driven by payments, payroll, and Mailchimp. Within payments, revenue growth in the quarter reflects higher effective prices, ongoing customer growth as more customers adopt our payments offerings to manage their cash flow, and an increase in total payment volume per customer. Total online payment volume growth in Q3 was 22%. Within payroll, revenue growth in the quarter reflects an increase in customers adopting our payroll solutions, higher effective prices, and a mix-shift towards higher end offerings. Mailchimp revenue growth was driven by higher effective prices and paid customer growth. Revenue growth in Mailchimp decelerated this quarter, as we were lapping a larger benefit from price and line-up changes that we made last year. Third, we continue to make progress expanding globally, by executing our refreshed international strategy, which includes leading with both QuickBooks Online and Mailchimp in our established markets and leading with Mailchimp in all other markets as we continue to execute on localized product and line-up. On a constant currency basis, total international online ecosystem revenue grew 12% in Q3. Shifting to the Desktop Ecosystem. Desktop Ecosystem revenue grew 14% in the third quarter, and QuickBooks Desktop Enterprise revenue grew in the high-teens. At the end of this fiscal year, we will complete the three-year transition for customers that remain on our license-based desktop offering to a recurring subscription model. As I shared last quarter, starting next fiscal year, we expect our Desktop Enterprise offering, which accounts for over half of desktop accounting revenue, to grow in the high-single digit range. We also will continue to encourage remaining Desktop Plus subscription customers, who tend to be more complex and higher value, to migrate seamlessly to either QBO or our Desktop Enterprise offering when they are ready. Additionally, we see opportunities to continue to price the product for value. The online ecosystem remains our growth catalyst longer-term. As a result of the strong growth we are seeing in the Small Business and Self-Employed Group, we are raising our full year segment revenue growth guidance to 18%, up from the prior guidance of 16% to 17%. We continue to expect Small Business and Self-Employed Group revenue growth of 15% to 20% long-term. Moving to Credit Karma. Credit Karma delivered revenue of $443 million in Q3, up 8%. On a product basis, Credit Karma Money accounted for 3 points of growth, credit cards and auto insurance each accounted for 2 points, and personal loans accounted for 1 point. We saw strength in Credit Karma Money from TurboTax customers choosing to deposit their refund in a Credit Karma Money account, and we are seeing a return to growth in the insurance segment. However, the overall picture remains mixed, reflecting uncertain macro trends as we continued to see select partners taking a conservative approach to extending credit in both personal loans and credit cards in Q3. We are updating our full year Credit Karma revenue growth guidance to a growth of 2%, versus our prior guidance range of plus or minus 3% growth. In summary, I’m pleased with our continued momentum this fiscal year and our opportunities ahead. Shifting to our balance sheet and capital allocation. Our financial principles guide our decisions, they remain our long-term commitment, and are unchanged. We finished the quarter with approximately $4.7 billion in cash and investments and $6 billion in debt on our balance sheet. We repurchased $584 million of stock during the third quarter. Depending on market conditions and other factors, our aim is to be in the market each quarter. The Board approved a quarterly dividend of $0.90 per share, payable on July 18, 2024. This represents a 15% increase versus last year. Moving on to guidance, we are increasing our fiscal 2024 guidance. This includes, total company revenue growth of 13%, up from prior guidance of 11% to 12% growth; GAAP operating income growth of 21% to 22%, up from prior guidance of 15% to 18% growth; non-GAAP operating income growth of 16%, up from prior guidance of 12% to [16%] (ph) growth; GAAP diluted earnings per share growth of 28% to 29%, up from prior guidance of 11% to 15% growth; and non-GAAP diluted earnings per share growth of 17%, up from prior guidance of 12% to 14% growth. Our guidance for the fourth quarter of fiscal 2024 includes, revenue growth of 13% to 14%, GAAP earnings per share of $0.25 to $0.30, and non-GAAP earnings per share of $1.80 to $1.85. You can find our full fiscal 2024 and Q4 guidance details in our press release and on our fact sheet. Finally, as Sasan shared earlier, we have made strong progress on our five Big Bets and see opportunities to invest further in select focus areas to accelerate our pace of progress and deliver greater impact. Therefore, as part of our annual financial planning process, we are taking a hard look at reallocating investments. We remain committed to our financial principles, growing revenue double digits and growing operating income dollars faster -- slower than revenue, leading to expanding operating margin in fiscal 2025 and beyond. With that, I’ll turn it back over to Sasan.
Sasan Goodarzi: Great. Thank you, Sandeep. Let me close with three points. First, we're very well positioned to take advantage of the largest technological shifts of our era given Intuit strategy and five Big Bets with AI at the center as all we do. Second, given the green shoots we're observing, we are doubling down in key areas of our bets to accelerate growth. Third, we continue to recruit great technical and leadership talent across the company to accelerate our progress. In that context, I'd like to share that Greg Johnson recently returned as Executive Vice President, Intuit, Chief Commercial Officer and Global Small Business & Self-Employed Group Chief Revenue Officer. Greg is a world-class leader with nearly 10 years of experience at Intuit, leading TurboTax as the Head of Marketing and then as General Manager. I'm thrilled to have Greg back in Intuit. Now let's open it up to your questions.
Operator: [Operator Instructions] We'll take our first question from Keith Weiss with Morgan Stanley. Please go ahead. Your line is open.
Keith Weiss: Excellent. Thank you guys for taking the question. And a really nice quarter in that, you guys really flexed the ability to use the portfolio to outperform on the top line and outperform on the bottom line. And in what has been a pretty difficult earnings season actually taking earnings up we hear your full year EPS is coming off. So that's all great to see. I wanted to ask about the tax business overall. The shift towards kind of the high end, the higher ARPC customers seems more pronounced this year probably than what I was expecting, and I think most people were expecting. I think the underlying question most investors have is like, why can’t we do both right? Why can’t we price for the low end and get those customers on board as well as attracting those higher ARPC customers? Is that available to you? Or do you need to be shifting more upmarket?
Sasan Goodarzi: Hey, Keith, thank you very much for the complement and your question. Let me address your question in a couple of ways. First of all, I'll start with some of what we already shared, but it's important context in that we're really bullish in terms of what we saw with TurboTax Live going after the assisted segment because now you have a $1.4 billion business growing at 17%. And with that being 30% of the total TurboTax franchise, when we flip that over to, now it becomes 50%, 60% of the franchise, it really accelerates the growth of the entire TurboTax franchise. And what we demonstrated this year, I would almost say for the first time is, we moved the needle of taking share and assisted. When you look at the fact that -- although IRS grew 1%, most of that growth all happened in DIY, mainly with sort of three simple filer customers, assisted was flat, and that's where we took share. And I think that is a first sort of time of a sign that we're starting to build a flywheel effect that gives us a lot of confidence as we look into the future. I think the second thing that I would say is we -- because of our Credit Karma and TurboTax platform, we actually see the customers that are just really looking for a free tax software and are bouncing between platforms, and we are not interested in those customers. We're not interested in pursuing those customers, the cost of acquisition to get those customers when they simply are bouncing between platforms. We're really focused on quality of the customers, particularly because now we've just scratched the service in the assisted segment and what really matters is now accelerating the share take in the assisted segment. So that's really how we're thinking about it and what gives us confidence in not only what we delivered, but particularly in the future.
Keith Weiss: Got it. Makes sense. Thanks so much guys.
Sasan Goodarzi: Thank you.
Operator: We will take our next question from Daniel Jester with BMO Capital Markets. Please go ahead. Your line is open.
Daniel Jester: Great. Thanks for taking my question. I just actually want to expand on the comments you've made on. So on one hand, you talked about focusing more on sort of the higher end of the market, but you're also talking about deepening the integration between Credit Karma and TurboTax in the future. And so can you just maybe expand a little bit more, especially around the Credit Karma and TurboTax integration, what we should be expecting going forward? Thank you.
Sasan Goodarzi: Yeah, absolutely. This year, particularly, we're very excited about what we saw and actually what didn't work. And let me, if I could, hit on both. First and foremost, Credit Karma has over 40 million monthly active users and a larger chunk of those 40 million plus active users are actually doing their taxes using the assisted method. And so that's an enormous opportunity for us. This year, we embedded the TurboTax experience within Credit Karma, and we're very aggressive pursuing those customers. And in fact, we drove traffic north of $10 million within Credit Karma, those that were interested in doing their taxes with TurboTax. That's why it resulted in a 76% growth of the number of TurboTax customers that use the embedded experience within Credit Karma. At the same time, what we are constructively dissatisfied are two very basic things that did not work well this year. One with seamless log in, the second was performance of the app. And what I mean by seamless log in is, out of those 10 million-plus customers that were in the bucket of traffic, about 25% of them when they click to start doing their taxes with us or have us do it for them, they didn't have any instruction. They could just get started right away, where 75% of them could not. There was a lot of friction. And that was just an element of time. We were not able to get to all the work that was required to get everyone to experience, in essence, no log in. And that's a big deal, and we're all over it already. The second is performance of the app. We worked very hard to embed the TurboTax experience within Credit Karma, but the performance of the app was not where it needs to be. When I say performance of the app, some of the time that it took was like eight to seven seconds just for the app to be able to load. That's unacceptable, and we saw a lot of drop off. Both of those are in our control. Both of those, we are already working on. But I share that as an example of -- we saw a huge green shoot with our focus this year on every Credit Karma member becoming a TurboTax customer. And there's two very basic things that we're constructively dissatisfied with that gives us actually a lot of confidence as we look into the future. So hopefully, that answers your question.
Daniel Jester: That’s great. Thanks for the context.
Sasan Goodarzi: Very welcome.
Operator: We'll take our next question from Siti Panigrahi with Mizuho. Please go ahead. Your line is open.
Siti Panigrahi: Thank you. Thanks for taking my question. And Sasan, I want to ask about your vision and strategy for the Money platform. I have a multipart question there. We have seen you expanded invoice to bill pay. Would love to get your progress so far, any feedback there in the last couple of quarters. But also, we saw that you recently acquired Proper Finance and also made some hiring -- senior executive hiring in the money platform side. So I'd love to hear your strategy in which direction it's going in a money platform.
Sasan Goodarzi: Sure, Siti, thank you for the question. Let me actually talk about the focus around money on two dimensions that we're very, very excited about. And as you also heard in our prepared remarks, this is an area where we are accelerating our investments. We are seeing a lot of green shoots with all the work that we've been doing in the last several years, really digitizing the whole process of estimating invoicing to getting paid and having multiple paying options along with the bill pay capabilities that we've built that we are now rolling out to our customers. We're seeing a lot of green shoots in both of those areas. You saw in a pretty tough macro environment. Our payments overall total payments volume was up 22%, and that's an area where we're accelerating our investment. That's on the small business side. The thing that we're also excited about is money focused across the TurboTax Credit Karma platform. We saw a lot of green shoots this year with a 20% or 28% increase of the number of customers that put their refund on a Credit Karma Money account. We're excited about it, not because of the 28%. We actually believe that could be far bigger. But because of the areas of friction that we are going to remove and the fact that we have opportunities to give much earlier access to their tax refund and actually monetize it. So those are the two areas across our small business and consumer platform that we are focused on and we're accelerating our investments across both of those platforms in the coming year.
Sandeep Aujla: And Siti on the acquisition, you mentioned, as we've shared with you in the past, we are continually looking at by the partner, and that was a small technology tuck-in that we did to build some of the core money movement and risk management capabilities within our small business group.
Siti Panigrahi: Thank you.
Sasan Goodarzi: Very welcome.
Operator: We'll take our next question from Alex Markgraff with KeyBanc Capital Markets. Please go ahead, your line is open.
Alex Markgraff: Great. Thank you for taking my questions, Sasan. Just one for you on TurboTax. Just looking at recent Investor Day slides and sort of the long-term growth framework for the business. When we look at this total TurboTax share of IRS returns, I think implies sort of a positive share gain over the long term. And I'm just curious, I understand the focus in the assisted category. Should we be thinking about that input differently as it relates to total IRS returns going forward, just given what we're seeing at the lower end of the spectrum?
Sasan Goodarzi: Yeah, Alex, great question. Let me just -- one minute of context, and then I'll answer your question. Based on our estimates, we believe the IRS total returns will grow about 1%. And the majority of that, if not all of that will happen in the do-it-yourself category. The assisted category is generally flat, which is why we led with the fact that we are taking share. With that as context, it actually does not change our long-term goal post of we want to be able to increase share of total IRS returns. We also want to get there in the right way. So this year, I'm very comfortable with where we ended up because our entire focus was the assisted segment and high value, high average revenue per return filers. But over time, as TurboTax Live goes from being 30% of our franchise, growing at 17% to being 70% of our franchise. So that's when you're going to see us start moving the needle on increasing our share of the total IRS returns. And by the way, I would also liken this, although it's not directly at your question, I would liken this to the online desktop mix, if you think about the last five to 10 years in small business. We always said that once online becomes more than 50% of small business and then 60% and 70% over time because it's growing faster, it will actually accelerate the growth rate of the small business group. That is exactly what's happened. And we believe that same thing will happen in TurboTax as TurboTax Live goes from 30% to 70% one day, and that's what will result in our total share increasing of total IRS.
Alex Markgraff: Okay. Thank you.
Sandeep Aujla: One other point of context, if I may add, Alex, that's important to understand that even on the simple filers, there is a customer segmentation that is critical for us to keep in mind. We are -- we remain focused on the simple filers through both TurboTax and Credit Karma, but we are not focused on are the simple filers that have a higher propensity to change platforms year after year because we frankly don't think those -- that's a good return on our investment, and there's no opportunity for us to grow and earn revenue there. So I just want to make sure that customer segmentation was also pronounced in what you were hearing.
Alex Markgraff: Understood. Thank you.
Sasan Goodarzi: You’re welcome.
Operator: We'll take our next question from Kirk Materne with Evercore ISI. Please go ahead. Your line is open.
Kirk Materne: Yeah, thanks very much. Sasan, can you just touch upon Mailchimp a little bit? I was kind of curious what your thought is for the business into the back half of the year, given the fact that I think some people think on the small business side, cutting back on sort of go-to-market is often a place they might look to trim. Can you just talk about sort of what you're seeing there? And what gives you confidence that perhaps this is an opportunity for you guys to take share in that area? Thanks.
Sasan Goodarzi: Yeah. Great question. First of all, I'll reiterate what you heard from us earlier. The fact that the revenue decelerated was primarily because we're lapping a big price increase and some lineup changes from last year. The fundamental health of the business is consistent with what it was last quarter. So that's number one. Number two, our durable focus remains the same, which is -- we are integrating Mailchimp and QuickBooks. I'd be happy to talk about that more, if there are questions about it, two, mid-market, third, international. And we're being really very aggressive in international. In fact, I was just most recently in London, spent time with our new leader in Mailchimp that leads EMEA, that came from another company where he has built a really a large international business, and two, visited a number of customers and partners, and we're being very aggressive with our approach in what we've done with the platform, what we're doing with our pricing and then the marketing investments that we are making as we look ahead. And in fact, as I mentioned earlier, there are five areas where we are accelerating our investment. This is one of them. And so we're quite excited about the possibilities given the green shoots that we're seeing.
Kirk Materne: Thanks, Sasan.
Sasan Goodarzi: Yeah. Very welcome.
Operator: We'll take our next question from Kash Rangan with Goldman Sachs. Please go ahead. Your line is open.
Kash Rangan: Thank you very much. Sasan, you still remain the best predictor of small business. You've got the best read. And I'm curious what -- you said green shoots, I speak by that observation. And in a macro environment, which gets tougher, you guys have shown the ability to execute really well. So what are the other things in your toolkit that you have been able to unpack that if the macro environment continues to stay where it is? One of the things that could help them to continue to outperform these expectations for the small business segment. Thank you so much and congrats.
Sasan Goodarzi: Yeah. Thank you, and great to hear from you. The -- one of our fundamental execution philosophies that we have at the company is conviction on the long-term, ambitious testing and experimentation in the short term so that we can be nimble, we can learn and we can adjust. And really, the answer to your question is the five areas that you heard that we're accelerating our investments. I mean we are seeing green shoots with our learnings and insights with Intuit Assist, and we're accelerating our investments in GenAI. We -- as I talked about earlier, for the first time, we were increasing our share in the assisted segment. And so we're accelerating a number of areas with TurboTax Live. We are also embedding an expert within QuickBooks Live, within our entire small business platform where every offering will actually come with an embedded expert because we believe, based on green shoots that we've seen, that will improve conversion, it will also improve retention. And mid-market, I mean, we have been really assertive in building out capabilities in the platform. We have been asserted in building out our customer-facing capabilities from leadership all the way down to our frontline sales folks, and we're seeing great green shoots there to accelerate not only growing with our customers, but I'm hunting for new ones. And as you know, mid-market is not just about getting the customers, it's all the services that comes with the it, payments, payroll, live platform capability. So, Kash, those are the, I would say, key green shoots that we are seeing, all of which we are accelerating our investments currently, by the way, in the quarter and as we head into next year.
Kash Rangan: Fantastic. Thanks. Glad to hear that.
Sasan Goodarzi: Thank you.
Operator: We'll take our next question from Brad Reback with Stifel. Please go ahead. Your line is open.
Brad Reback: Great. Tanks very much. Sasan, as you sort of think about the overall economic environment, you did a great job there with Kash's question. But for the first time, I think, as long as you provided the data, payroll wasn't the number one growth driver on the online ecosystem. So maybe you can dig in there and give us a little sort of color on what's going on within the payroll business and if we should expect growth to continue to moderate there. Thanks.
Sasan Goodarzi: Sure. Well, let me start actually with the -- what we're seeing on our platform with respect to the health of small businesses, if I could just do that for a moment. One of the things that we are seeing, if we look back from today versus the last three to four months, we're actually seeing some improvement in profitability of small businesses on our platform. And that's a good sign compared to the last couple of years. Now within that, the -- depending on the sector that you're in, your performance is driven by the environment. And so for instance, manufacturing -- areas like manufacturing, professional services, auto repair, their profits are actually up nearly 20%, where real estate lending, their profits are actually down 15%. So the net of it is overall, we've seen improvement, depending on the sector you're in, your performance varies. But the net of all of that is that cash reserves are down 8% compared to this time last year, but up over 16% compared to pre-COVID. So what you should take away is small businesses are healthier but their cash reserves have been impacted. And for those that are on our platform, by the way, over four years, their cash reserves are over 60% higher than those that have only been with us for a year. Last thing I would just say is hours worked is actually up compared to the last quarter. Specific to your payroll question, let me ask Sandeep to answer specifically what you asked about payroll.
Sandeep Aujla: Brad, as I mentioned in my prepared remarks, we continue to see customers in our payroll business, adopting our solutions. They continue to take our higher-end offerings as well. The reason for the difference you called out is, I'll point to the payments business where the charge volume went to 22% growth in the quarter versus 20% the prior quarter. So that's the key item to call out in that sequencing.
Brad Reback: Perfect. Thank you very much.
Sasan Goodarzi: Very welcome.
Operator: We'll take our next question from Brad Zelnick with Deutsche Bank. Please go ahead. Your line is open.
Brad Zelnick: Excellent. Thank you so much for taking the question. Sasan, it's great to hear about the strong performance in full service this season. Can you double-click into which assisted filers, you feel you did a good job capturing, which might have been a little bit more resistant than your expectations? And how do you think about driving momentum in full service going forward?
Sasan Goodarzi: Yeah, Brad, great question. I was actually in San Diego all day yesterday with the TurboTax team doing deep dives on all of these durable priorities. One of them was full service. First of all, I would tell you that across all of the states, across different income levels, across all complexities, very consistent. And I would say that if you heard -- not if you heard, if you reflect back on what I said in the remarks, that our new customers in full service tripled, an outsized element of that was those that are sort of younger, the millennials, and they are actually embracing full service as a cohort more than others, not by an incredible amount, but it stands out for us. So I think what we learned -- and that's a big deal by the way. What we learned is, we were successful just in one area. But I'll tell you the biggest area we are constructively dissatisfied when you look at our overall assisted performance. We were very aggressive with our go-to-market and not just spend but the beginnings of being able to recommend an expert, the beginnings of when you search for a local expert us showing up. There's a lot of infrastructure that we built. We drive a lot of traffic to our front doors. Where we are constructively dissatisfied is, we have to work on our shopping experience. When you walk into somebody's firm, a store or somebody's home to have them do your taxes for you, you're not presented with a set of SKUs. You just go in there and you exchange documents and they do their taxes for you. Our shopping experience has to be improved. That's where we saw the biggest drop off. So what we have a lot of confidence in is the demand that we created. And by the way, the performance. But the demand that we created was exceptional. We need to get better at the shopping experience. It's one of the areas where -- by the way we saw this during the season, and there's a lot of work that's being done to actually leverage AI to personalize the experiences so that when we get a customer that comes in, that comes from an assisted method, they're actually greeted by an expert versus greeted with which SKU do you want to pick.
Brad Zelnick: Thank you so much for the color, Sasan.
Sasan Goodarzi: Yeah. Very welcome.
Operator: We'll take our next question from Steve Enders with Citi. Please go ahead. Your line is open.
Steve Enders: Okay, great. Thanks for taking the questions here. I guess maybe I just want to start on -- or want to ask about the AI and the assistant or the AI Intuit Assist solution that's now out of market. I guess -- what are kind of the proof points that you've seen? Or how is it kind of manifesting in kind of improving experience or driving monetizable outcomes for Intuit so far?
Sasan Goodarzi: Yeah, Steve, thank you for the question. I'm actually pleased with our progress, and I'll share some of the proof points, and I will also just remind us, we're still in the early days, but a lot has changed in the last three months. So let me share what those are. First of all, in TurboTax, 24 million customers used Intuit Assist to better understand the refund outcome and be able to get their questions answered. And not just the customer but Intuit Assist help our experts be much more efficient and effective in helping our customers. And as you can imagine, we would not have rolled that out to 24 million folks if that wasn't accretive to conversion. The second is Credit Karma. In Credit Karma, we have over 40 million monthly active users, and we have rolled out Intuit Assist capabilities, and I'll share what those are in a moment, to nearly half of our 40 million monthly active users. And what we have rolled out are the following things: one, to help you make a decision. And so by the way, if any of you on the call are Credit Karma users, and you happen to have iOS, unless you are in a holdout cell, you'll be able to see everything that I am articulating. So you will see things like Intuit Assist that we'll show you see why, see comparisons, let me help you. And when you engage, it helps you actually understand and have a conversation about which card is right for you. In the past, we always were able to use your data to deliver personalized experiences for you. In this case, personalized cards that are right for you, but now we can have a conversation with you and help you understand why one is better than the other. That's one huge element. The other is help you make financial decisions, help you understand how to build your credit, help you understand how to better save money, help you understand which cards are best to use and which cards you should reduce your utilization. That's what we've rolled out. And again, as you can imagine, we would not have rolled that out to almost 20 million Credit Karma members if it wasn't accretive to better monetization. And then the last couple of examples that I would use is on the small business side, where Mailchimp, nearly 300,000 customers have Intuit Assist available to them, particularly and specifically around personalized marketing campaigns, where you can -- where we help you put a campaign together, images, text, et cetera. And in -- across the QuickBooks platform, we have capabilities available to nearly 30,000-ish customers. And the capability is really about turning unstructured data into money and personalized feed. What that means is taking your e-mail as an example, and taking everything that's in your e-mail and turning it into an invoice that's paid and labeled so that you can get paid faster, and that's a monetizable event for us. And then business feeds that helps you orient to what's most important insight for the day, which ultimately depending on what you engage with is a monetizable event for us. So we've made a lot of progress in the last 90 days. And we're even more hopeful about what's possible in the future. I'll just end with -- it's early days, but it's amazing the progress that the team has made in the last 90 days.
Steve Enders: Great to hear. Thanks for the context there.
Sasan Goodarzi: Yeah, very welcome.
Operator: We'll take our next question from Brad Sills with Bank of America. Please go ahead. Your line is open.
Brad Sills: Great. Thank you so much. I wanted to ask a question around TurboTax Full Service. I know it's been a couple of seasons now under your belt here. What are some of the areas that you've learned from? What are some of the areas you've outperformed with full service. What are some of the learnings from a couple of tax seasons now under your belt? And what have you identified for the future in order to target that segment more aggressively? Thank you.
Sasan Goodarzi: Brad, thank you for your question. First of all, I would say, this actually was the first real season with full service. Last year, it was still -- although we rolled that out, it was still at the experiment level. With that said, to answer your question, a couple of things. One, because we were quite aggressive with our go-to-market, we learned that we can create a lot of demand. And we created a lot of demand not only by talking about the fact that we can do your taxes in less than a day, we can help extend your money and give you early access or immediate access to your money. But there is a lack of price transparency in the entire assisted segment, where you don't really know what you're going to pay until you walk into somebody's store or a firm. And we did a lot of testing to understand how important price is. We learned that it matters a lot. And so we created a lot of demand. That's number one. Number two, when you search locally for an expert or -- and/or if we showed you in when you engage with full services, there's an expert near you, the conversion rates were significantly higher than when we didn't so up in search. And that, by the way, is just an element of time. We'll be able to get all of what we were doing this year rolled out across all of our customers. But that's an enormous learning that local matters. People want to be able to search for pro-near-me, folks want to know that their expert is nearby, and we saw a significant expert or conversion lift. Last thing that we saw as a great proof point is, I think this was more towards the middle, towards the end of season, you could recommend your expert. That had a big conversion one. But we were not able to scale that for the entire season or to all of our customers, which we plan to do next year. So those are the big insights and the big learnings. And last, I'll just end with the following, which is what I mentioned a moment ago, we have a lot of work to do on our shopping experience. And to simply put it, when you walk into somebody's firm or a store, you're not presented with a SKU in a lineup. You just walk in and get -- have them get your taxes done. And that's what we are working on, which is, in essence, when you pick full service, you're greeted by the expert versus a pricing lineup to make a choice. And that with an enormous learning this year, all of which we're currently working on for next year that give us a lot of confidence.
Brad Sills: Very clear. Thanks, Sasan.
Sasan Goodarzi: Yeah. You’re very welcome.
Operator: We will take our next question from Scott Schneeberger with Oppenheimer. Please go ahead. Your line is open.
Scott Schneeberger: Thanks very much. Good afternoon. Sasan, this is primarily on TurboTax and on do-it-yourself in TurboTax. I think, I heard Sandeep say that overall consumer retention or TurboTax retention was 3 points yet there was some share loss, obviously, on the low end and seemingly in do-it-yourself. The full service metrics and overall TurboTax Live sound great. So I think you have good retention there, good new customer acquisition. But in the do-it-yourself in the paid customer, are you doing okay in share there? And what are you doing in that category specifically paid, do-it-yourself to build-share going forward. Because when you answered Alex's question earlier about growing share, it sounds like all like in the assisted category, and that's great. It's a great opportunity. Just curious, in the paid categories, what your opportunities are going forward? Thanks.
Sasan Goodarzi: Yeah. Thank you for the question. And Sandeep, please feel fear to build. I would say that overall, we feel good about our paid share because if you -- and we cut it multiple different ways internally. But if you look at what we've shared in our remarks, total IRS grew 1%. Our total paying customers grew 2%, and our retention grew 3 points. So we actually feel good about our paying share. I think what you heard us remark on is, where we lost share, which we're okay with because it was actually an intentional focus on the things that we've talked about today, was on customers that are, in essence, simple filers that are bouncing between platforms. And that's the area where we articulated earlier that we lost share. So that's the way I would have you think about our performance is when it comes to paying share, we actually feel good about our performance.
Sandeep Aujla: Scott, I would also add that you should have not take away that we are yielding any ground on the paying of DIY customers. Our marketing investments, we are focused on attracting both customers to our platform. Our experiences are helping those customers better understand their returns and gain better confidence leading to better conversion. And we remain relentlessly focused on improving our product experience for those customers. So in addition to the assisted category, which we are excited to disrupt the $31 billion market across consumer and small business, we also are focused on taking share. It was a paying DIY customer.
Scott Schneeberger: Great. Thank you both.
Sasan Goodarzi: You’re very welcome, Scott.
Operator: We will take our next question from Raimo Lenschow with Barclays. Please go ahead. Your line is open.
Raimo Lenschow: Thank you. Sasan, you talked earlier in the prepared remarks about desktop and the changes here in the coming year. Can you kind of link that up maybe a little bit is what we've seen in QuickBooks Advanced? And how -- if there's kind of more opportunity to bring desktop guys over and what you're seeing here on board?
Sasan Goodarzi: Sure. Let me -- thank you for the question. And let me answer your question, but if I'm not answering your question directly, please come at me again. I think what you heard us talk about earlier is, one, we've been in the middle of a business model shift moving all of our desktop customers to subscription. And at the same time, we've been building capabilities on our online platform. So eventually, all of our desktop customers have a destination, which is online. And we believe, over time, all of our desktop customers at one point will be on our online platform. With that said, the thing that I would say is that we've really built out a lot of our capabilities on QuickBooks Advanced. And in fact, we are aggressively building a number of capabilities that we'll be excited to talk to all of you about at Investor Day, really targeting even larger customers. And I think we'll be far better positioned to take on some of our larger enterprise customers that may choose to want to come to our online platform. And that's really the essence of what we were talking about earlier. As you think about our desktop franchise looking ahead, one, we have desktop enterprise that's growing high single digits. Number two, we view that we can get most of our customers over time to go to our online platform and price to value also plays an important role. And with all that said, I just think we're better positioned for some of our larger customers that come to our QB Advanced over time. And that's what really gives us confidence as we look into the future.
Sandeep Aujla: No, I was just going to add, the question was also about just the progress we are feeling about Advanced. What I would say across the mid-market and as I alluded in my prepared remarks, we continue to feel good about the progress we're making with the mid-market, including with QuickBooks Online Advanced and with the desktop enterprise product, which grew in the in the high teens. So that's an area we continue to feel good about, the add I would have.
Raimo Lenschow: Perfect. Thank you.
Sasan Goodarzi: Welcome.
Operator: And we'll take our next question from Taylor McGinnis with UBS. Please go ahead. Your line is open.
Unidentified Analyst: Hi, this is Daniela on for Taylor. Thanks for taking my question. So it looks like the Small Business & Self-Employed growth in the quarter was run by stable to our accounting growth and an acceleration in that stock. So as we look into 4Q, how much of the implied 17% for Small Business & Self-Employed growth is being driven by desktop versus stability in the online segment? And given that so many SMB software companies saw incremental pressure in 1Q, can you just comment on what you're seeing in terms of SMP Health and how that is influencing your guide? Thanks.
Sasan Goodarzi: Yeah, sure. Let me get us started. Sandeep, please jump in if you have any perspective to add. I'm not sure I understood the premise of your question, so let me just share what you should take away. What you should take away is the strength of our small business franchise is being driven by our online performance. Overall, it grew 18% or our online actually grew 19%, our services grew 20% and we actually feel very good about the trajectory of the business. And as we talked about, as we look ahead, we believe that desktop will continue to grow once the business model shift comes to an end, but that continued growth will come from the fact that half of desktop is enterprise, and it's growing high -- we anticipate it to grow high single digits. But the takeaway should be that in a macro environment, that is somewhat uncertain. Our online performance for small business has been quite strong, very resilient, and we're actually seeing a lot of engagement and usage by our customers just because it's really helping them manage their cash flow. It's helping them grow their business, and I think we're very well positioned in this environment.
Sandeep Aujla: And what I would add, in addition to Sasan's comments about the health of the SMB market is a reminder that 80% of our small business group's revenue is subscription-based. And when you look at those businesses, the part of that is not related to subscription, largely on our services side. Couple of factors just to underline, we saw our payments charge volume increased 22% in Q3, which was faster than what we saw in Q2. And we continue to see good adoption of our payroll offerings by customers as well as a mix shift towards the high end of payroll offerings. So heading into Q4, we feel good about our online ecosystem growth, which remains our growth catalyst going into the future.
Unidentified Analyst: Perfect. Thanks.
Sasan Goodarzi: You’re very welcome.
Operator: We'll take our next question from Michael Turrin with Wells Fargo. Please go ahead. Your line is open.
Michael Turrin: Hey, great. Thanks. Appreciate you fitting me on. The small business segment growth is holding in strong if we look at the international online ecosystem revenue growth, trailing at 12% in constant currency. Sasan, are there plays you see to potentially jump-start overseas growth? Is there anything you're experimenting with around Mailchimp that could help with tip of the spear there into broader international reach? Or what else do you see that yield potentially better growth down the line? Thanks.
Sasan Goodarzi: Yeah. Thank you for your question. First of all, I'll start with the fact that the Mailchimp lapping price increase from last year and some of the lineup changes that we talked about earlier impacts international growth, just since 50% of Mailchimp's revenue is international. So that was a big driver of why 12%. And two, yes, absolutely, given the green shoots that we are seeing with Mailchimp internationally and where we have product market fit with QuickBooks and Mailchimp, one of the five areas that we are accelerating our investments is, in fact, international. So we're excited about what's possible as we look at.
Michael Turrin: Thank you.
Sasan Goodarzi: Yeah, very welcome.
Operator: I'll now turn the program back to our speakers for any closing remarks. I do apologize. We will actually take our next question. I apologize again. We were going to take our question from Alex Zukin, but they have removed themselves from the queue. I will return the call to our speakers for any closing remarks.
Sasan Goodarzi: Well, listen, everybody, thank you so much for attending. Thank you for your wonderful questions, and we will see you at our next earnings. Be safe. Bye-bye.
Operator: This does conclude today's progress. Thank you for your participation. This concludes today's call.